Operator: Good morning, and welcome to Dine Brands Global's Second Quarter 2023 Conference Call. I'm Brett Levy, Dine’s Vice President of Investor Relations and Treasury. This morning's call will include prepared remarks from John Peyton, CEO; and Vance Chang, CFO. Following those prepared remarks, Tony Moralejo, President of Applebee's; and Jay Johns, President of IHOP, will also be available to address questions from the investment community during the portion of the call. Please remember our safe harbor regarding forward-looking information. During the call, management will discuss information that is forward-looking and involves known and unknown risks, uncertainties, and other factors, which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release and 10-Q filing. The forward-looking statements are as of today and no obligation to update or supplement these statements. We will also refer to certain non-GAAP financial measures, which are described in our press release and also available on Dine Brand's Investor Relations website. For calendar planning purposes, we are tentatively scheduled to release our Q3 2023 earnings before the market open on November 1, 2023. With that, it is my pleasure to turn the call over to Dine Brands CEO, John Peyton.
John Peyton: Thanks, and good morning, everyone, and thanks for joining us. Today, we'll provide updates on Dine's Q2 results, our investment initiatives and progress on new unit development. Vance will provide a more detailed financial update, including balance sheet progress, and Tony and Jay will join us for Q&A on the back half of our call. So I'll begin today with a few comments about the mindset and behavior of our consumer. We've spoken at length about the remarkable resilience of our target guest in 2022 and early 2023. In late Q1, we began to see some hints that our guests were growing a bit more cautious in their spending. This continued into the second quarter as the percentage of guests selecting from limited time offerings and the value offerings on our Applebee's menu grew from approximately 15% to 19% quarter-over-quarter. And across the industry, we noticed our competition leaning heavily into promotions, which also contributed to the headwinds this quarter. Yet, while we saw a slight decline in traffic, average check remained consistent year-to-date, just the consumers are more likely to cut back on restaurant visits, then trade down to a less expensive alternative to fight inflation. And finally, while our off-premise sales volume remains strong, we saw a shift in mix from delivery to pickup, a deliberate decision to avoid extra cost associated with delivery and fees. All of this indicates that the pandemic reopening boom of 2022 may now be returning to historically normal and more sustainable levels. Turning to our results. Our performance reflected a modest slowdown when looking at comparable year-over-year same-store sales, driven primarily by traffic, and this relates in particular to Applebee's. You may recall Applebee's Q2 2022 results were heavily influenced by pent up demand from Omicron, which fueled Q2 sales growth. However, it's worth noting that our current quarter's average weekly sales remain stable and are roughly 12% above pre-pandemic levels. That said, here are the highlights from the quarter, which I provide more details on in a moment. Q2 revenue excluding the refranchised Applebee's restaurants grew to $206 million from $198 million and adjusted EB grew 2% to over $67 million. IHOP posted its ninth consecutive quarter of comp sales growth of 2.1% increase year-over-year. Applebee's same-store sales declined 1% in Q2 influenced, as I mentioned, by strong sales volumes last year. Importantly, though, average weekly sales for Applebee's was over $54,000 and average weekly sales for IHOP was approximately $39,000. And we're encouraged to see that average weekly sales for both Applebee's and IHOP were above 2019 levels. Now we continue to advance our strategic growth agenda, which includes investments across enhanced technology, marketing and training tools, all needed to provide the overall guest experience and our loyalty programs. This includes a robust technology that introduces a new POS for IHOP and Applebee's server handhelds Flybuy and functionality for our apps with enhanced capabilities for Dine in order in advance joining wait lists for seating and different payment options and reviews. Second, we are investing and engaging in relevant menu and marketing innovations to drive comp sales growth. For example, we'll continue to build IHOP’s portfolio of virtual brands and leverage IHOP’s brand equity into national consumer packaged goods ups. And finally, continued investments in new development initiatives such as new brick and mortar concepts like dual branded restaurants, conversions, and new restaurant prototypes, as well as offering compelling financial incentives for franchisees to accelerate the construction of new restaurants. So now turning to Applebee's. As I mentioned at the start, comp sales were down 1% due to traffic trends, difficult comps, and a slightly more hesitant consumer. Nevertheless, Applebee's continues to quality food and a better guest experience, allowing them to maintain sustained sales volume. Despite the increasingly competitive and promotional environment, Applebee's system-wide AUVs are approaching $3 million this quarter. Agility was the key to the quarter and will continue to be important going forward. For example, the brand responded to initial signs of consumer softness by elevating its everyday value platform of two for $25 to include a premium offer with stake, which helped drive improvements to both and traffic. And Applebee's summer partnership with Disney, Lucasfilm in Fandango to promote the latest installment of the Indiana Jones franchise is a great example of the brand's excellence in non-traditional marketing. Now an update on Applebee's development. Under Tony's leadership, we are executing a three-part plan. First, we've taken a fresh look at underperforming restaurants and ways in which we can improve profitability, leading to some additional closures. These closures were based on a number of – including some older restaurants or areas becoming unsustainable due to changes across trading area dynamics in a post-COVID world. However, we're still looking into opportunities to relocate some of these underperforming restaurants. Second, the brand is finding success in conversions in recent new builds. Average unit volumes for the class of 2022 restaurant openings are annualizing at nearly $4 million, well above the brand's average of nearly $3 million, reflecting the compelling relevance of the brand, when it's in the right market. Finally and most importantly, we continue to work on a smarter, more efficient design that we plan to unveil next year. This prototype will incorporate the post-pandemic business model and operations efficiencies and will address the inflation in the cost to build a new restaurant. In the meantime, we continue to work on improving store level margins, which is of keen interest to developers working together Applebee’s, our franchisees and CSCS, our brand’s purchasing cooperative have made progress toward our reputability initiative and during the quarter we implemented 50 basis points of annualized savings and the work continues. Applebee’s competes in an increasingly competitive segment of the restaurant space and it continues to lead in value, affordability, and brand awareness. These are attributes that have been built and nurtured over the past decade and underpin the brand’s resilience and ongoing appeal to its loyal guests. Moving on to IHOP. It continued its momentum in Q2 reporting its ninth consecutive same-store sales growth. And IHOP is delivering on its renewed focus on innovation, particularly around its menu, consumer products and technology. So first, starting with menu innovation. In Q2, IHOP launched its largest menu refresh in many years, which includes eggs Benedict sweet and savory crepes and other items. All the changes were driven by extensive customer research in which guests told us they want more breakfast favorites, fresh ingredients and great value. New menu leans into our expertise in breakfast and introduces new items and flavors that guests and families crave at any time of the day. Since our launch in April and initial promotional activities, these new items have maintained sales volumes, which signals sustained demand. This innovation continued into Q3 with IHOP’s latest LTO Pancake Tacos, which is a testament to the brand’s creativity, and we’ve just begun to celebrate IHOP’s 65th anniversary featuring all you can eat pan for $5 and kids eat free. As we look to the back half of the year, we have a full pipeline of marketing and menu activations to roll out, including a mix of new menu innovations and value offerings. IHOP remains bullish on virtual brands, which allow us to leverage our scale and kitchen space to add incremental sales. Our target windows are dinner and late night hours, and we have several exciting brands coming very soon. During the quarter, we launched IHOP branded coffee at grocery and retailers in partnership with Kraft Heinz, IHOP coffee achieved national distribution across more than 25,000 retail locations. We are pleased with the initial sales performance and Kraft Heinz will continue to invest in comprehensive media support and retailer campaigns through year-end. IHOP’s loyalty program, the International Bank of Pancakes continues to be an important channel to connect with guests and now has almost 6.5 million members, which accounts for approximately [indiscernible] of sales. IHOP continued with its restaurant profitability initiative and during the quarter identified 35 basis points of annualized savings and the work to identify additional savings continues. And finally, as we’ve discussed in previous quarters, development is an important growth engine for the IHOP brand. At the end of Q2, roughly three quarters of our 2023 domestic openings are conversions in line or end caps, and our openings have spanned across more than a dozen and franchisees. While we’re not reporting on Fuzzy financial results quite yet, I’d like to share a few highlights about Fuzzy’s from the quarter. First, one of the most compelling reasons for acquiring Fuzzy’s is that we believed it would appeal to our existing franchisees and that their interest would accelerate development. To that end, last month, the Fuzzy’s team executed a 20 restaurant development deal with one of our largest IHOP franchisees. In addition, one of our Fuzzy’s franchisees purchasing Applebee’s portfolio. Since our acquisition in December, the Fuzzy’s pipeline continues to grow fueled by both our existing franchisees and the recruitment of new developers. Second, we continue to be impressed by the team’s marketing and menu innovation prowess. For example, Fuzzy Cinco de Mayo celebration, an important holiday for the brand posted a 19% increase in year-over-year sales and we’re very pleased with the progress Fuzzy’s has achieved in seamlessly integrating in system. And finally, moving on to our international business. We continue to focus on opportunities in our core international markets, Puerto Rico and the Caribbean, Latin America, the Middle East, and Canada. During the quarter, we signed a multi-unit IHOP development deal in Central America. Last quarter, we shared that we opened our first ever dual branded Applebee’s IHOP location in the Middle East in Dubai and this model is proving to be a success in its first few months of operation. Since then, we’ve added three more dual branded units in the Middle East and we expect to have approximately six to eight open by the end of the year. We’re proving that dual branded restaurants present compelling benefits like having a shared kitchen that allows for more efficient staffing and most importantly, consistent sales across all four-day parts due to the complementary business periods of the two brands. We’re also making progress with our ghost kitchen development plans. Ghost kitchens are an efficient, innovative, and low capital way brands and licensed partners to enter new markets. We expect to open approximately 30 new distribution points by end of year, bringing our global ghost kitchen total to over 80 and we’ve recently signed agreements to bring our brands to new markets including Spain, Columbia, and Japan, which we expect all to be active by year-end. To wrap up, while we saw a somewhat more hesitant guest during the quarter, our brands and our asset-light model proved to be resilient. We’re encouraged by the progress we’ve made over the years and we’re ready to adapt to the changing climate with new menus, updated technology, clever and compelling marketing, and new sources of revenue. And so now I’ll turn it over to Vance.
Vance Chang: Thank you, John. As you have all just heard, we had a mixed quarter in terms of comp sales, but despite this, our restaurants are generating consistent average weekly sales volume above our pre-pandemic levels. On the top line, consolidated total revenues, including the refranchise Applebee’s restaurants increased to over $206 million in Q2 versus $198 million in the prior year. Our total revenues reflected strong franchise revenues, which grew 5.7% to $177.9 million compared to $168.3 million for the same quarter of 2022. The improvement was due to comp sales growth at IHOP and the inclusion of Fuzzy’s Taco Shop. If we exclude advertising revenues, franchise revenues actually increased 8.3%. Rental segment revenues for the second quarter of 2023 improved by 1.3% to $29.4 million compared to $29.1 million for the same quarter of 2022. The rental segment margin remained flat. Our company restaurant operations sales were approximately $0.5 million for the second quarter, compared to $39.5 million for the same period of last year. This decrease was mainly due to the refranchising of our Applebee’s company operated restaurants in October of 2022, offset by contributions from three Fuzzy's company operated restaurants, two of which we also refranchised during the quarter. G&A expenses increased nearly 9% to $47.9 million in Q2 of 2023, up from $44 million [ph] in the same period last year, mostly due to one-time costs associated with IHOP’s Flip’d initiative. Excluding IHOP Flip’d cost of $3.3 million, G&A was consistent with the prior year period. Adjusted EBITDA for Q2 of 2023 increased to $67.3 million from $66.1 million in Q2 of 2022, which also was with the prior year period. Adjusted diluted EPS for the second quarter of 2023 was a $1.82 compared to adjusted diluted EPS of $1.65 for the same period of 2022.  Turning to the statement of cash flows. We had adjusted free cash flow of $24 million for the first half of 2023, compared to $23 million for the same period of last year. Cash provided by – for the first half of 2023 was $43 million, compared to cash provided from operations of roughly $30 million for the same period of 2022. The variance in operations cash flow was primarily due to a favorable change in working capital resulting from changes to bonus payments, and the timing of disbursements. CapEx for the first half of 2023 was $23 million, compared to nearly $13 million for the same period 2022. We finished the second quarter with total unrestricted cash of $98 million, compared with unrestricted cash of $182 million at the end of the first quarter, as we utilize our balance sheet to lower our outstanding debt balance with the issuance of our $500 million 2023 A-2 securitization. Additionally, we continue to return capital to equity and bond investors through dividends and purchases as well as debt paydown. Altogether, we return over $180 million of capital back to equity and bond investors in the first half of 2023. This demonstrates Dine’s prudent capital allocation strategy with high cash flow generation ability. Turning to Applebee’s performance. Q2 was a more volatile quarter in terms of comp sales as we compared against strong pent-up demand after omicron line of 2022. However, as John mentioned earlier, Applebee’s sales results have remained steady, and our average weekly sales were above pre pandemic levels at over $54,000, including over $12,000 from off premise. That’s roughly 23% of total sales, of which 11% is from to-go, and 12% is from delivery. IHOP sales results were also consistent throughout the quarter. Average weekly sales were roughly $39,000, around 6% above 2019 levels, including over $8,000 from off-premise sales. That’s over 20% of total sales, of which 7% is from to-go, and 13% is from delivery. Along with the sales results, our franchisees are reporting that the labor situation has improved as workers return to the restaurants and labor shortages are reduced. Continue movement [ph] is expected by our franchisees, and this gives us confidence in the overall improvement of their operating conditions. Franchisees should also see benefits to their food cost. The second half of 2023 is expected to turn deflationary for both brands. Applebee’s commodity basket is estimated to be over 1.5% cheaper versus last year. An IHOP’s basket is expected to be over 3% cheaper in cost year-over-year. With the overall commodity outlook turning favorable for both brands, our supply chain co-op is now expecting a full year commodity outlook in the flat to low single digits range, further reduced from a low to mid single digit range previously expected. Along with these macro level improvements, our system is working on other ways to drive productivity and profitability for our franchisees, as mentioned by John earlier. These are not limited to better pricing, but include the potential to reduce waste, improve packaging, and help our system optimize labor. We’re confident in our ability to deliver on our long-term priorities, but a still challenge backdrop will continue to impact our operations in the near term and has led us to make an adjustment in Applebee’s development guidance for 2023. As John mentioned earlier, we’ve taken a closer look at underperforming restaurants as the new Applebee’s development and leadership team continues to refine its prototype and work on relocating the remaining restaurants impacted by local market changes. As results we’re now expecting 25 to 35 net fewer Applebee’s locations in 2023, down from 10 to 20 net fewer locations previously expected. The rest of our guidance stays unchanged. We remain focused on driving and supporting long-term and our franchise community while optimizing our balance sheet and returning capital to our shareholders. So now I’ll hand the call back to John for some closing remarks before we open it up for Q&A. John?
John Peyton: Thanks so much, Vance. We’ll now hand the call over to the operator. And as a reminder, Jay and Tony are both on the line and along with me and Vance, they’re here to answer your questions. So operator, please open up the queue and we can begin the Q&A session now.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Eric Gonzalez with KeyBanc. Please proceed.
Eric Gonzalez: Hey, thanks. Good morning. John, in the prepared remarks, you touched on some of the macro challenges you faced at the end of the first quarter, at the start the second quarter. From an industry perspective, it seemed like some of those headwinds may have abated as the quarter progressed. And I’m guessing you saw similar improvement in your business in May and June versus April. So maybe you could speak to where we are today? Has the operating environment changed at all or was the improvement mostly due to easier comparisons such that as we get into the fall it might become more of a challenge? Thanks.
John Peyton: Hey, Eric. Good morning. Thanks for everyone for joining and thanks our operator for taking care of us so well. Yes, I mean, as you know Eric, we don’t typically give month-to-month guidance, but what we – within the quarter but what I can tell you is that Applebee’s in particular was nimble and quickly reacted to what it saw in terms of a little bit of the soft traffic. We mentioned how they doubled down on their promotion activity, like adding stake to the two for 25 and see that made positive effect on traffic as the quarter progressed.
Eric Gonzalez: What about in terms of pricing, do you think maybe some of the traffic declines are related to some price increases or where do we stand in terms of pricing? And do you think that there’s an opportunity to lean more heavily into value or necessarily lean more heavily into value just because some of the pricing may have gotten out of whack with the consumer?
John Peyton: Yes, I’ll take that at a headline level, Eric, and then, pass it on to Tony and Jay for comments on the brand’s approaches to that. But at a time like this, when we see the consumer becoming more cautious, right? We are more focused than ever on traffic, and we do that by leaning into our reputation for value in both brands as well as the brand’s expertise in delivering value oriented POS and promotions. So I’ll ask Tony, if you want to talk a little bit about Applebee’s strategy going forward, and Jay, if you have anything to add, you can do the same.
Tony Moralejo: Yes, happy to, John. Hi Eric. As John said, we don’t traditionally talk in detail about traffic, but it’s obviously something we monitor closely. What I will say about traffic and the decline in Q2 is that it stems primarily from the macroeconomic environment. And when I look back at 2022 and in the first two quarters of this year’s, our franchisees, in terms of pricing, they’ve been very modest, especially relative to the category to mitigate the traffic pressure and while at the same time protecting and recovering their margins. So they’ve been very prudent. And as inflation moderates, right as we expect some favorability in our basket in the balance of the year as disposable income improves and then it improves, we’re going to – you’ll find that we’ll be very well positioned to capture more share.
Jay Johns: Hey, Eric. This is Jay. Just to add to that. We have a strategy at IHOP really to make sure that it includes value and innovation. We just rolled out new core menu, we’ve had full price eggs Benedicts, for example, as we rolled that out. So that’s a more of an innovation item right now. Currently all you can eat pancakes and kids eat free. So we pulse those things throughout the year to make sure we’re highlighting the great new items on our core menu and the innovation that we have, and also being mindful of value and we think that helps us overcome whatever headwinds we might get from any kind of pricing the franchisees may have done.
John Peyton: Yes. And Eric, the last thing, it’s John again, I’d mentioned is that stay tuned for Monday, Applebee’s is launching a return of a fan favorite value offer significant media behind it, and that’s an example of the brand reacting to market conditions in a very real time.
Eric Gonzalez: Sounds good. Thanks.
Operator: Thank you. One moment, please as I prepare the queue. Our next question comes from the line of Jake Bartlett from Truist Securities. Please proceed.
Jake Bartlett: Hi, thanks for taking the question. Mine is really about the approach to value. And I think there’s a general concern among the investment community is that the industry might kind of slip back into deep discounting. And so, I’m wondering how would you characterize the level of value now? And I think that the two for 25 with the stake whatever’s coming on Monday, it’s a bit like deep discounting. And I’m just wondering how you’d characterize, the level of discounting now, what you expect versus kind of some of the pre COVID levels, which were so margin destructive., I think just industrywide, just any comment would be helpful to start?
John Peyton: Yes, Jake, it’s John again. I’ll take it at the top and then ask again, if Tony and Jay have anything to add. When it – what’s the value? I think an important thing to keep in mind is that both of our brands work very closely with it, with our franchisees to determine what these value promotions look like or what an LTO looks like. And that includes not only the marketing behind it, but the margins behind it as well as the data we know that when we invite a guest in for our LTO they typically spend more in addition to what they are there for the LTO, it’s obviously it’s also driving incremental check.  One of our stacks from the last quarter is while we did see a modest slowdown in traffic, at both brands, average check for the quarter at both brands remain steady compared to the prior two quarters. So when our guests are with us, they continue to enjoy the full offerings of both brands Applebee’s and IHOP when they’re in the restaurants. So that’s a great data point for us that demonstrates that it’s not discounting but we’re using the value offers to bring in guests in a way that resonates with them. So they maintain that average check. And Tony, only if you’ve got something to add chime in and then Jay.
Tony Moralejo: Yes. Happy to. Thanks for the question, Jake. Value remains incredibly important right now, but honestly, it’s – it remains the same across all economic cycles. Applebee’s is built for the average American, eating good in the neighborhood is more than just a tagline. It means we’re providing good food at an affordable price in an environment where everybody can come and be themselves. That’s value – that’s the value that the American consumer is seeking and expects from Applebee’s. An example that you mentioned in Q2, we delivered value through affordability through campaigns such as our two for 25, which we ran in June with strong results. It’s compelling and it provides the values again, that the guests are seeking in this environment, which is why we have outpaced our direct competitors from a value attribute perspective for many years.
Jay Johns: Hey, Jake. This is Jay. The only thing I would add is just on top of what I said with my last answer, I’ll give you an example. We rolled out brand new crepes, both savory pan [ph], typical breakfast style type crepes. And when we rolled those out, we did those with a buy one get one promotion. And while that may seem like a deep discounting, the purpose of that really was to get trial by two people at a time when they came in to try our new menu and try the new crepes. And it worked to perfection. It not only provided great value for guests coming in, but when the buy one get one promotion went off, crepes sales actually went up, compared level was when they were coming in and people were getting one for free also. So it did exactly what we expected. We launched the product, we were able to give a nice value. So there’s a prime example of how you can almost marry your new innovation with the value as part of your program to build your overall core business.
Jake Bartlett: Right. I appreciate all of that. And my next and last question is about G&A. And I maybe if you can confirm kind of what the recurrent a – as you calculate, I just want to make sure I’m kind of backing out the right numbers in terms of the one time. But it does look like in G&A, the implied back half G&A is a step up from what you spent in the second quarter. So the question is what is driving, if that’s right, but what is driving the increase in, I think significant increase in G&A spend per quarter versus the second quarter. And then also you’ve talked in the past about having your G&A spend being incomputable [ph]. So in a – if the macro kind of slows down, you can pivot and maybe delay some project or what have you and be flexible with your G&A. So the question is, when do you choose to do that? You maintained your – the G&A guidance this quarter. But at what point and maybe if you can confirm that you do have that flexibility? Do you kind of pull that lever to sustain EBITDA growth?
John Peyton: Sure. Vance, why don’t you?
Vance Chang: Hey Jake. Sure. Jake, good to see you. As I said, if we take out the one-time items which is primarily related to Flip’d costs, G&A is about $44 million. And so that’s down from Q1 of 2023 and flattish to Q2 of 2022. We have some normal sort of seasonality within our core G&A. So if you go back to a few years, you’ll see that Q4 is normally traditionally a little higher than the rest of the year. So which is the reason why we’re maintaining our full year G&A guidance. Now, the places that we’re investing in, right? And it’s franchisee – it’s people or systems related to building up franchisee support, building up our development capabilities and improving the guest experiences. And these are projects that that take time, but they're building blocks to any successful franchisor, right? And so, - and I also just remind everyone that we did this in conjunction with $200 million of capital return to shareholders as well as $200 million of debt reduction since 2022. So, all of this is possible only because of our high cash flow conversion model. And you talked about – the second part of your question was about levers that we can pull. Another reminder there is that we've been through 2020, right? So we've been through the worse. We know that we have the exact playbook to protect our liquidity, protect the long-term fundamentals of the business. And so we know what to do. For the time being we're seeing progress with investments that we're doing and so things – we're not lowering our G&A guidance just yet, but things are tracking according to expectation. I hope that answers your question.
Jake Bartlett: Yes. That's very helpful. Thanks a lot.
Operator: Thank you. One moment, please. Our next question comes from the line of Todd Brooks of The Benchmark Company. You may…
Todd Brooks: Hi, thanks for taking my questions. First on Applebee's and the updated net unit closure guidance. Tony, can you talk through the portfolio review and where you found the additional weaknesses that maybe led you to identify the additional closures? Is it concentrated within one or two franchisees portfolios or concentrated regionally? Is there anything that set the incremental units? And is there a chance that the need for more closures leaks over into 2024 and threatens that move back towards kind of net unit neutrality for the Applebee's brand?
Tony Moralejo: Yes, absolutely. Happy to add a little bit more context and color. I'll try to unpack that, but there may have been five different questions there. So we're now two years post-pandemic. And shortly after taking over the – we decided to take a strategic look at our portfolio and identify additional restaurant locations that are – are no longer in strong markets and that's due for multiple reasons. Some of those reasons are post-COVID consumer behavior changes that John mentioned earlier. Closing these underperforming restaurants opens up new trade areas. It opens up opportunities for growth especially when you consider our broader development strategy. Our new – Vice President of Development is working closely with franchisees to take advantage of these opportunities. In terms of how does it impacts beyond 2023, we're not giving guidance today beyond 2023, but I'll say that we're going to work closely with our franchisees to help identify closures and make sure that we always leverage our collective expertise and our knowledge to set them up for long-term financial success. In terms of the different reasons – I'm into the exact reason for every one of the closures, but it's a mix of those post-COVID changing consumer patterns. Sometimes it's loss of property control where the franchisee is unable to renew a lease with the landlord. And I think you also have to keep in mind that this is a function of opening up many, many restaurants 20 years ago, and there's cycles, right? And every year is a little bit different. In some years we have more renewals that come up than you did in the previous – you may have some more non-renewals than you did in a previous year, et cetera. So it can be a little cyclical as well. Hopefully, I think that that answers your questions.
Todd Brooks: Yes, that was great, Tony. Thanks. And then one more, and I'll jump back in the queue. If we can talk about CapEx, $33 million to $38 million guidance maintained. It looks like the spending was frontend loaded, I think $23 million year-to-date. I guess what's maybe rolled off out of the CapEx program? And can you give us what makes up your CapEx kind of the mix of maybe maintenance CapEx, which you shouldn't really have much other than kind of your corporate related facilities, but between tech and other areas, just trying to get a handle about around the size of the CapEx for a fully franchised operation? Thanks
John Peyton: Sure, Todd. Vance will take that.
Vance Chang: Hi, Todd. So, the CapEx number, as we kind of mentioned last quarter, it actually doesn't with about $8 million of TI reimbursement that we received year-to-date. And so that piece of it is actually flowing through our working capital. And so, if you net that $8 million against the 2023, it's actually quite a bit lower than Q1 and also than last year already. So the nature of CapEx, a lot of it is sort of the implementation, the installation of the technology. So things should roll off over time and we're already seeing that. And the full year guidance of CapEx, again, that does not reflect the TI reimbursement, right? So on a net basis, we're getting a lot closer to our pre-COVID level already at this point. Does that answer your question?
Todd Brooks: Great, thanks. Yes, it does. Thanks, Vance.
Vance Chang: Great.
Operator: Thank you. One moment please. Our next question comes from the line of Nick Setyan from Wedbush. Please proceed.
Nick Setyan: Thank you. The IHOP add back I think you said it was about $3.5 million within G&A, but I think add back is over $5 million. What's the difference there?
Vance Chang: John, I'll take it. There is still Flip related that just sits in franchise operations. It's not part of G&A.
Nick Setyan: Got it. And so just so I can reconcile sort of the reiterated guidance with the software top line. So the G&A guidance and the EBITDA guidance you guys gave in Q1, it already incorporated the Flip closure or the Flip charge?
Vance Chang: No, it did not.
Nick Setyan: Okay.
Vance Chang: Did the guidance reflect that? No.
Nick Setyan: Okay. Okay. The other question is around the IHOP gross margin. It seems like bad debt Q2 versus Q1, I think it's – is that sort of the new run rates or is there anything special in Q2 that we should be aware of and we should think about? I think the gross margin going back up again to above 80% for the rest of the year on the IHOP side.
John Peyton: The IHOP gross margin is impacted by – for this quarter, it's primarily by sort of the dry mix costs and so the cost of goods sold for that, that's – that's flowing through our franchise expenses. So that's really driving the gross margin for this quarter. Another you mentioned bad debt, this applies to both brands. The bad debt for last year, this quarter or lower than normal because we had some recovery of bad debt. So this quarter is more reflective of normal runway margin level. Is that helpful?
Nick Setyan: Yes. Yes. So it is more reflective of sort of a go-forward margin level.
John Peyton: Yes. Put aside the dry mix piece, which is little bit volatile given Russia and et cetera, but otherwise, it's a fairly normal quarter. Yes.
Nick Setyan: Okay. Thank you very much.
Operator: Thank you. One moment please. Our next question comes from the line of Brian Mullan from Piper Sandler. Please proceed.
Brian Mullan: Hey, thank you. Just question I have, net new opening guidance was reiterated at 45 to 60 units. Can you just speak to your degree of confidence you'll be able to achieve that this year on a net basis? And related to that, maybe could you just talk about how much construction costs inflation taking place and how you're getting the franchisees to overcome that and go ahead and keep developing, at least in the U.S.?
John Peyton: Yes, thanks Brian. I suggest Jay.
Jay Johns: Yes, I was going to say, this is Jay. Thanks Brian. Look on the net development number, obviously we reiterated guidance. We're still confident within that range. Obviously you look at the numbers, you may question how you're going to get there, et cetera. But as in many years, a lot of the openings are back loaded into the year and it tends to pick up as the year goes on. So we are reiterating the guidance and we think that we will still get there. So to the second question, I think the key for us is we have, it is an expensive time to do direction out there. And the ways we have worked with our franchisees to try to help them with that is number one is we have multiple ways they can develop. It's not just a full size traditional restaurant. We have non-traditional opportunities for them. We've developed a small prototype that they can develop, which cuts out on costs. And most importantly, we've really unlocked this ability to do conversions pretty quickly. That's the other thing that actually helps you speed up and you can find a prop and within the same year you can open that restaurant instead of trying to source new ground and do a complete buildup, et cetera. So conversions are a much better speed to market way to get your development, and they're also much more economical. And as you heard John say at the beginning, we've had about 75% of our new openings and our pipeline that are these conversions that are reusing a previously existing property of some sort.
Brian Mullan: Okay. Thanks a lot.
Operator: Thank you. One moment, please. Our next question comes from the line of Andrew Wolf of CL King. Please proceed.
Andrew Wolf: Thanks. Good morning. Wanted to ask about kind of franchise behavior and how you work with them. With missionary background, as a few things, I'm sure there are cumulative costs to run their restaurants, including ingredients and labor and so on have been up more than the AUV since 2019. So, like most other restaurants, their margins are down, their profit margins. So, how do you work with them to kind of balance them wanting to maybe made a little more whole, keeping for costs and maybe even their price increases even in a deflationary environment, to widen their profit margins versus what – at least in the short run is probably more in the interest of a franchisor, which is to promote and get the sales up. So could you just tell us about, what is sort of the current state of the franchisees, kind of their mindset and how you work with them on that?
John Peyton: Yes, Andrew, it's John, I'm going to suggest this. Vance, why don't you address the franchisee specifically and then I think it's helpful for Jay and Tony to talk about the committee structure and the way we collaborate with franchisees and around our programming decisions. So we'll start with Vance.
Vance Chang: Sure. John. Hey, Andrew. So with franchisees, we're constantly having a conversation of margin dollars versus margin percent, right. So you pay rent, you pay labor with dollars, not percentages. So these are longer term conversations and we're focused on franchisee health and on average, both systems are in a great shape based on the non-audited financials that our franchisees have shared with us. Of course, we do have normal course of business type of requests from our franchisees as a system of our size would have. But generally speaking, you see in our reported numbers, franchisees are seeing strong AUV growth and with the second half commodity inflation with the labor availability improving, those are positive trends. But on top of that, we're also working with our franchisees on cost saving initiatives at the restaurant level. So these include packaging and distribution and waste energy reduction front and back of the house efficiency, et cetera. So these are all incremental things that we're working on together collectively to make sure that that they're protected and their franchisee health is maintained and improved over time. Tony or Jay, anything to add there?
John Peyton: Why don't we just have Jay speak on behalf of both brands in terms of how we work with our franchisees through the committee structure, et cetera. Jay?
Jay Johns: Yes. Hi Andrew. We have various committees. We have an operations committee that looks at how we execute, how we operate. They deal with a lot of this on cost of doing business, food costs, ways to improve efficiencies on execution, on labor, et cetera. So we work very closely with them. And there's different – there's almost different buckets that this falls in. You heard John talk before about our restaurant profitability initiatives that both our brands do. For example, at IHOP, 35 basis points that we've been able to save on that initiative alone, obviously the commodity reductions are going to be back in half a year, will help franchisees as well. I want to go back to your question though, about sales and how sales tend to help the franchisor more at least perception wise. One of the things that we also make sure talking about penny profit is sales actually help franchisees way more than they help the franchisor. We get a percentage obviously, of the top line, but the flow through of an incremental sale is kept franchisee mainly and that's where they understand that we need to cut costs, but we also need to raise revenues, and that's their sales and that's their traffic. And that's really one of the biggest focuses. You think about all the work we do with marketing and initiatives and value and pricing. All of that is about how do you get more guests to come in and have a great time in your restaurant experience, a fantastic experience, which adds more to the value equation, and then come back and the franchisees work on all of those things.
Brett Levy: We’re ready for the next question, Gerald.
Operator: Thank you. [Operator Instructions] One moment please. Our next question comes from Jeffrey Bernstein of Barclays. You may proceed.
Jeffrey Bernstein: Great, thank you very much. Couple of questions. The first one, just following up on the Applebee’s comp trends, I think it mentioned that it started soft, but then you introduced the state promotion within 25, and I thought you mentioned that traffic improved. So I’m just trying to get the sense for, I know you don’t get monthly trends, but just want to confirm that directionally you were saying trends got better through the second quarter and into July. And within that, if you can maybe just share the components of the comp, including price and whatnot for the second quarter result for both brands.
John Peyton: Yes, so Jeff, it’s John, I’ll clarify the comment I made about the Applebee’s comps, and then we can ask Vance to address the traffic and price split. What – we’re not commenting on July because that’s obviously the third quarter. And what I did say is that we saw, stabilization and then improvement of traffic as the quarter progressed. Vance, do you want to talk about the mix?
Vance Chang: Yes. So, hey Jeff, for Q2 on a year-over-year basis, I think Applebee’s was close to that menu. Saw menu pricing increase in IHOP saw about close to 8%, a little bit under 8% menu pricing increase. And then there’s the rest of that, that ticket change was in mix and then traffic was negative.
Jeffrey Bernstein: Okay. And then the G&A , just to clarify, on the P&L in your press release, you show the $47.8 million, I’m just trying to figure out what the correct number to use for the adjusted 2Q G&A, so it’s apples-to-apples with the guidance for $200 million to $210 million. I was under the impression we should back up the full $5.8 million, but it sounds like you’re saying something different. So what’s the adjusted 2Q G&A that is apples-to-apples with the $200 million to $210 million that we should be thinking about for the full year?
Vance Chang: It’s, 40 – about $44 million, so that, that incremental million-ish of the add-back sits in franchise operations. And so collectively that’s the $5 million, that makes up the $5 million that we added back on EBITDA.
Jeffrey Bernstein: Got it. So the $47.8 million gets reduced to the $44 million and that’s on top of, I believe the $49 million or so in the first quarter. And those are the apples-to-apples that we use to get to the $200 million to $210 million.
Vance Chang: That’s right.
Jeffrey Bernstein: Understood. Lastly, just trying to clarify on the promotional – again, I think it was more commentary related to Applebee’s, but you talked about the peers activity has been increasing. We talked to some of your large national peers and they were saying it seems like people are being more prudent and not being overly aggressive on promotional activities. So, I’m just trying to assess whether it’s big chains or maybe independence or how you kind of think about that promotional activity and how you potentially respond to that? Thank you.
John Peyton: Tony, why don’t you address that since it was an Applebee’s question.
Tony Moralejo: Happy too. We monitor competitor activity, but it really doesn’t impact our overall strategy. We’ve been regarded as an industry leader, a value-based player in this segment for many, many years. And there are others, they’re trying to figure out their discounting campaigns, but we have a proven track record, right? We have a playbook that’s produced strong results. Our focus in this environment is really in four areas. We’re working on creating new value offerings. We’re extremely focused on culinary innovation. We’re going to continue to drive operational excellence and we’re going to improve our dining environment and experience. And these focus areas are what our guests are telling us. You’ll always see us react to our guests are telling us and not because what our competitors are necessarily doing. It’s why we continue to maintain our leadership position in affordability and visit intent and brand and add awareness and inconvenience. And you can expect a continued focus on these areas for the balance of the year.
Jeffrey Bernstein: Understood. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brian Vaccaro from Raymond James. Please proceed.
Maggie Juarez: Hi, this is Maggie Juarez on for Brian Vaccaro. Thanks for the question. We just wanted to follow up on the health of your consumer. Could you elaborate on any recent changes you might be seeing as it relates to frequency within specific income cohorts, any changes in sales mix or attach rates on appetizers, alcohol? Any color there would be helpful.
John Peyton: Sure. It’s John, I’ll take that. We’ve said a couple things about the consumer and there’s the behavior and as well as the profile. So, we can confirm again, as we mentioned last quarter, that, that we continue to grow our share of younger guests, among our target income, and that’s been an improvement to the last several quarters based upon where we were pre-COVID for example. And we think that’s a reflection of many things, including that both brands have gotten even better at targeting younger guests on funnels [ph], and meeting them where they are. And that’s particularly fantastic, in my opinion because, our – we have two mature brands in Applebee’s and IHOP. And by the way, Fuzzy’s also has a young guest. So for mature brands like that to continue to appeal to younger guests and grow that space is terrific. In terms of their mindset, I mentioned early on that we are seeing that average check is the same. But we’re also seeing, for example, that at Applebee’s, the LTOs and the value oriented menu, that section grew from 15% to 19% last quarter. So, we’re beginning to see, a modest change in behavior toward of our consumers becoming a little bit more cost conscious. We also saw them shifting a bit from delivery to pickup to save the delivery fees on off-prem. So it like that, that suggests to us that the guest is becoming, a bit more, a bit more cost conscious, a bit more cautious in the last quarter. And I’ll look at that. Thank you.
Maggie Juarez: Thank you.
Brett Levy: And if that is all, we will now turn it over to John Peyton for closing remarks.
John Peyton: All right. Great. Gerald, thank you for taking care of us this morning. And thank you to all of you who dialed in and asked the questions. We appreciate it and we appreciate the time you took to hear about our quarter and our plans for the future. So everyone have a great day. Thank you.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.